Operator: Thank you for standing by, and welcome to 8x8's Fourth Quarter and Fiscal Year 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the call over to Kate Patterson, Vice President, Finance. Please go ahead.
Kate Patterson: Thank you. Good afternoon, everyone. Today's agenda will include a review of our results for the fourth quarter of fiscal 2025 with Samuel Wilson, our Chief Executive Officer; and Kevin Kraus, our Chief Financial Officer. Following our prepared remarks, there will be a question and answer session. Before we get started, let me remind you that our discussion today includes forward-looking statements about our future financial performance, including investments in innovation and our focus on profitability and cash flow, as well as statements regarding our business, product, and growth strategies. We caution you not to put undue reliance on these forward-looking statements, as they involve risks and uncertainties that may cause actual results to vary materially from forward-looking statements as described in our risk factors in our report filed with the SEC. Any forward-looking statements made on this call and in the presentation slides reflect our analysis as of today and we have no plans or obligations to update them. All financial metrics that will be discussed on this call are non-GAAP, unless otherwise noted. These non-GAAP metrics, together with year-over-year comparisons in some cases, were not prepared in accordance with US generally accepted accounting principles, or GAAP. A reconciliation of these non-GAAP metrics to the closest comparable GAAP metric is provided in our earnings release and our earnings presentation slides which are available on 8x8's investor relations website at investors.8x8.com. With that, I'll turn the call over to Samuel Wilson.
Samuel Wilson: Good afternoon, everyone. Thank you for joining us today to review our fourth quarter and full fiscal year 2025 performance. I want to express my deep appreciation to our global team, our customers, our partners, and our investors. This quarter reflects the grit, focus, and long-term thinking that defines 8x8, and gives me real confidence about where we're headed. Before we get into the details of the quarter, I want to address a few of the broader market dynamics. While our opportunity remains large, the economic picture has shifted, and recent tariff actions and global uncertainty have added more noise to an already complex environment. We're staying focused on what we can control, disciplined execution, platform innovation, and delivering outcomes that matter to our customers. Markets will ebb and flow. But what doesn't change is our commitment to building a durable, cash-generated business that creates long-term value. And that's exactly what we're doing. We're not dismissing these challenges, but we're prepared for them. Our business model is built on resilience, and the results for the quarter reflect operational discipline, business quality, and the flexibility to keep investing where it counts. Our theme for today is simple, the flywheel is starting to turn. After several years of foundational work, we are seeing real acceleration in our core 8x8 revenue, platform differentiation, and strategic execution. This momentum is visible in our numbers, in our innovation, and in the way our customers are responding. Let's walk through three key messages we believe defines the fiscal fourth quarter and FY 2025 and why I'm confident we have a solid future. As many of you know, we began a massive transformation of 8x8 in earnest in fiscal 2023 on the heels of our acquisition of Fuze. We had a clear plan. Fix our financial model, invest in innovation and retention, and deliver measurable CX outcomes for our customers. We took bold steps to set the stage. We began paying down debt to increase our financial flexibility, we rebranded the company, and completely rebuilt our go-to-market functions while continuing to invest in innovation. Now, as we exit fiscal 2025, I am confident in saying we are starting to see the results of our TTM rebuild, which is not complete yet. For the fourth quarter, year-over-year growth in 8x8, excluding revenue from all Fuze customers accelerated to 4.6% from 2.7% in Q3. This is the second consecutive quarter of improvement and marks our highest growth rate in 8x8 standalone service revenue in 10 quarters. We've also accelerated when looking at the entire fiscal year. For fiscal 2025, 8x8 service revenue, again excluding revenue from Fuze customers, grew 2.8% compared to growth of 1.8% in fiscal 2024. Lastly, as Kevin will discuss, the combined cash flow from operations for fiscal 2024 and 2025 is the highest two years ever at 8x8, and over half our market capitalization as of Friday. We have used the cash wisely, paying off debt, and reinvesting in platform innovation that is driving today's growth. Highlights for the fourth quarter include, continued rapid adoption of our communications APIs, also known as CPaaS. The number of interactions surged in the fourth quarter driving solid growth. The number of customers with three or more products increased 13% year-over-year to more than 700 customers. This reflects increasing cross-sell through our installed base, as well as landing more new logos with multiple products. Demonstrating this trend, 80% of our top 20 new logo customers and two-thirds of our top 20 add-on deals included both unified communications and contact centers. We saw strong momentum in sales of our Microsoft Teams integrations, with new license sales up 72% in the fourth quarter of 2024. The cumulative number of license sold into Teams environments grew 30% year-over-year and now totals more than 550,000 seats. We also continue to see sizable UC-only deals as customers migrate from legacy vendors, in particular Avaya, Mitel, and Cisco. We win these deals based on the strength of our unified platform and the initial UCAS deployment is typically the first phase of a multi-product adoption. Finally, we made substantial progress in upgrading customers from the Fuze service platform to 8x8. We expect to have all the customers fully off the legacy Fuze platform by the end of the calendar year. I believe these are important signals, especially in the current uncertain environment. We still have a lot of work to do, but we are seeing a steady climb, not just isolated wins. That gives me confidence as we look beyond our fiscal year 2026 into fiscal 2027 and fiscal 2028. Our second key message this quarter is about innovation, specifically how we've added new AI-based capabilities across our platform, expanded our technology partner ecosystem, and improved usability and accessibility. In the quarter, we introduced a series of platform level enhancements designed to solve systematic challenges in customer experience, employee efficiency, and digital transformation. Before we go through the highlights, it makes sense to add the context of how the 8x8 platform for CX is differentiated and why it matters for customers. You already know that 8x8 was the first in the industry to deliver an integrated platform with contact center, unified communications, and communications APIs built into a single cloud-native solution. Agentic AI requires data quantity, quality, and context to deliver on its promise. 8x8 platform for CX delivers all three via the customer interaction data platform or CIDP. CIDP captures, connects, and contextualizes interaction data across the organization and across channels. With fully AI optimized data, customers are able to unlock the potential of an expanding portfolio of powerful AI capabilities, including call routing, sentiment analysis, live agent guidance, journey optimization, and a host of other capabilities available from 8x8 and our partners. In early April, we showcased to our UK Customer Advisory Council and our global industry analysts how our unified platform and approach to data differentiated our solutions, and they were notably impressed. We read comments like “This feels like a company starting to go on offense, not just cleaning up from the past”. And “Your biggest differentiator might be how you show up. There's a level of honesty and transparency we don't often see in the space”. During these events, we showcased recent innovations, including platform-wide AI chat summarization and composed with AI capabilities. Advanced CX solutions that leverage the power of our platform, such as 8x8 JourneyIQ, which gives businesses real-time visibility into the customer journey, not just inside the contact center, but across every department and channel. And 8x8 AI Orchestrator, which connects communications flows using a GUI across systems, ensuring that transitions between bots, agents, and departments are seamless, smart, and contextual. Expanding in omnichannel, we became the first contact center provider to fully integrate rich communication services or RCS business messaging, enabling rich branded two-way messaging for digital channels. I'm proud to say we are carrying traffic today and I'm bullish on RCS. We launched Apple Pay and Google Pay support via 8x8 Secure Pay, streamlining transactions and expanding self-service payment options. We also expanded our technology partner ecosystem, or TPES for short, to provide customers with best-in-breed from single source solutions. New integrations include CallCabinet to deliver industry leading compliant call recording for regulated industries, SpinSci powering EHR compliant patient engagement in healthcare, and lastly, Meltwater, allowing social media engagement to be routed, tracked, and resolved within the contact center. As with other TPES partners, these solutions are deeply integrated with our platform and our customer interaction data layer to deliver complete solutions and specific outcomes. This allows the customers to punch above their weight and deliver tailored, omni-channel customer experience specifically available only to the largest enterprises. Our platform strategy, continued innovation, and our focus on outcomes is clearly resonating with customers. Let me highlight a few wins. A prominent UK-based travel company who chose 8x8 platform for CX for its seamless communication and collaboration across the organization combined with the scalability and global reach to power their ambitious expansion plans. They are deploying 8x8 work, contact center, and voice for teams. A home building products company, where our success was driven by our compelling AI vision and the ability to consolidate multiple legacy systems. Our team delivered a tailored, impactful demonstration that showcased how 8x8 could simplify operations and deliver the features they needed. A leading UK-based mortgage lender, where we demonstrated a foolproof solution that aligned closely with their strategic goals. We stood out from competitive solutions with a unified user experience and tangible cost benefits. Products included 8x8 voice for teams, 8x8 contact center with enhanced IVR. A US-based network of medical clinics where we're able to demonstrate the integration of their EHR system with 8x8 contact center, an initiative that the competition was either unable or unwilling to support. Each of these wins and other wins profiled in the earnings stack demonstrate the breadth of our solution. Perhaps most importantly, they showcase our consultative, partner-first approach, solving customer challenges, and delivering outcomes. The third and final key message is about the multiple transitions we are navigating in an uncertain economic environment. We believe these transitions are essential to position us for long-term, durable growth, profitability and value creation. Let me touch on the largest of these initiatives. First, our go-to-market rebuild and channel evolution. After slashing costs in fiscal 2023 and early fiscal 2024, we have rebuilt our go-to-market model around solution selling and partner enablement. This is required making changes in our sales organization and building innovative training and robust processes for accountability, and we're seeing performance improve. The next initiative is continue to grow our enterprise business while maintaining our installed base of small business customers. We know our innovation strategy and focus on outcome resonates with small and medium-sized enterprises, and we are investing in targeted programs to reach new logos and expand our wallet share within existing customers. But this does not mean we are abandoning our installed base of small business customers. Investments expanding AI capabilities in 8x8 Work and other UC feature releases along with resources dedicated to education and customer success all support this customer cohort. Finally, we continue to upgrade the Fuze customer-based 8x8 platform. We recognize that not all of the remaining customers will make the transition, and we are being conservative in our estimates of the amount of revenue we will retain. Those that upgrade are exceptionally happy and have a net retention rate above 100%. These transitions are not easy, but they're setting the stage for what comes next. As we look forward, we remain realistic about the challenges ahead, but we are seeing signs of a tailwind. Our 8x8 business is growing and our growth is accelerating. Again, growth is not a straight line, but we continue to believe that high single digit revenue growth and double digit operating margins are achievable in the next few years. Our innovation engine is delivering, and our own platform and new products are being adopted at scale. And we are navigating through the current economic conditions, while ensuring our GTM and financial foundations are stronger than they've been in years. Our guidance for fiscal 2026 reflects the impacts of our decision to close down the Fuze platform and that impact lessens substantially in fiscal 2027. We believe that with continued execution, we can achieve that high single digit service revenue growth by fiscal 2028. And we believe we can improve each year between now and then. Thank you for your continued support. I will now turn the call over to Kevin to take you through detailed financial performance.
Kevin Kraus: Thanks, Sam. Good afternoon everyone and thank you for joining us for our fiscal fourth quarter earnings call. As we wrap up fiscal 2025, I want to recognize our team's unwavering commitment to advancing our strategic priorities by improving operational efficiency, generating strong cash flow, and driving meaningful innovation. In Q4, we maintained focused execution, prudent cost management, and steady progress on platform innovation, all while navigating a challenging macroeconomic backdrop. The fourth quarter marked another period of solid performance, including a new record in communications platform usage revenue, strong profit margins, and another quarter of positive cash flow from operations following last quarter's record. Q4 marked our 17th straight quarter of positive operating cash flow and non-GAAP operating profit. We continued our thoughtful approach to debt reduction making a $15 million term loan prepayment during Q4 and an additional $15 million payment in April during fiscal Q1 2026. With these actions we have now reduced the principal balance of our debt by over $209 million or approximately 38% since the August 2022 peak. Detailed results are available in our press release and trended financials on the investor relations site, but I'll walk through the key highlights. Unless otherwise noted, all figures, aside from revenue and cash flow, are on a non-GAAP basis. Total revenue was $177 million, near the midpoint of our guidance range. Service revenue totaled $171.6 million, also near the midpoint of guidance. Our service revenue excluding Fuze grew year-over-year. This growth was offset by the anticipated decline in revenue from legacy Fuze customers. Importantly, we made significant progress in upgrading these customers to the 8x8 platform, reducing the remaining revenue on the Fuze platform to under 5% of service revenue, down from approximately 11% in Q4 2024. The pace of these upgrades has accelerated over the past few months and we remain on track to complete the transition by the end of calendar year 2025. This will further simplify our operations and enhance customer engagement. These results underscore the resilience of our core business, even as we address the Fuze related headwinds. Gross margin for the quarter was 69% at the low end of our guidance range. This was driven by revenue mix as lower margin platform usage revenue grew to approximately 13.5% of total revenue up both sequentially and year-over-year. The gross margin of our underlying subscription business remained healthy and consistent with prior quarters. Our total operating expenses remained in line with prior periods, reflecting our continued approach to responsible cost management. As a result, we delivered 10% operating margin at the high end of our guidance range. We also made meaningful progress on GAAP profitability, marking our third consecutive quarter of GAAP operating income, an important milestone. Stock-based compensation declined to 4.6% of total revenue, a multi-year low, down over $22 million year-over-year and nearly $50 million or 55% over two years, reflecting our shift to primarily cash-based compensation for most employees which is captured in our non-GAAP operating income. Turning to the balance sheet we ended Q4 with $89.3 million in cash, cash equivalents, and restricted cash, down approximately $15 million sequentially due to the term loan prepayment made in the quarter. The Q4 balance sheet reflects $11.6 million in current term loan liabilities, net of unamortized discounts and issuance costs, corresponding to $12 million in principal payments due over the next 12 months. Following our $15 million pre-payment in April, we have no remaining short-term debt obligations for fiscal year 2026, with the next scheduled quarterly payment due on June 30, 2026. Our net debt to trailing 12 month EBITDA ratio was approximately 2.7 times, down from over 6 times in fiscal Q2 2023, enhancing our financial flexibility for strategic execution. We also reported stockholders' equity growth for the fourth consecutive quarter, underscoring steady progress in strengthening our capital position. Our remaining performance obligation ended at $780 million, up approximately 1% year-over-year, reflecting the strength of our multi-year contractual commitments and a healthy recurring revenue base. We generated $5.9 million in operating cash flow in Q4, building on a record Q3 and bringing full year cash flow to $63.6 million, within the $61 million to $65 million range provided last quarter. Over the past two years, we've generated more than $142 million in operating cash flow, highlighting the strength of our business model and our ability to fund strategic investments, while evolving into a solution-based CX platform. While cash flow may fluctuate due to seasonality, investment timing, and other factors, we remain committed to discipline capital management in support of long-term growth and shareholder values. We continue to invest in simplifying how customers and partners engage with 8x8, enhancing our direct channel and digital go-to market strategies, and strengthening our technology ecosystem through advanced AI integration. With a focus on mid-market and enterprise customers, we're equipping our sales teams with new enablement tools and training, while expanding our use of AI and automation across both front and back office functions to drive productivity and efficiency. These investments are central to unlocking long-term operating leverage, enabling scalable engagement, reducing our cost base, and supporting sustained revenue growth and profitability. As we fund these growth initiatives, we expect some near-term pressure on non-GAAP operating margin. However, with over $60 million of debt retired in fiscal 2025 and an additional $15 million prepaid in April, our quarterly interest burden has meaningfully declined. As a result, we expect non-GAAP net income to remain stable, even with modest margin compression, supporting consistent bottom line performance while positioning the business for long term growth. We continue to manage our cost structure with a focus on efficiency, aiming to balance stability with support for growth and innovation. Our target expense mix is roughly 14% to 15% of revenue for R&D, 33% to 35% for sales and marketing, and around 10% for G&A. At the same time, we maintain flexibility to adapt spending as needed, an important advantage in today's uncertain macro environment. For fiscal Q126, we are guiding as follows. Service revenue between $170 million and $175 million. Total revenue between $175 million and $182 million, and non-GAAP operating margin between 9% and 9.5%. In fiscal Q126, we expect interest expense, including amortization of debt issuance costs, to be approximately $4.9 million, based on current interest rates and our outstanding debt balance. Cash interest paid is projected to be around $2.6 million, as the semi-annual interest on our 2028 convertible notes is not payable during the quarter. Our term loan interest rate assumption remains at approximately 7.3%, reflecting SOFR plus 3%. We anticipate fully diluted non-GAAP earnings per share in the range of $0.07 to $0.09 and operating cash flow between $5 million and $6 million. For fiscal year 2026, our guidance reflects the range of potential outcomes, given ongoing macroeconomic uncertainty and FX volatility, especially with about one-third of our revenue generated outside the U.S. For the full fiscal year 2026, we are guiding as follows. Service revenue is expected to be between $682 million and $702 million. Total revenue is expected to be between $702 million and $724 million. Full year operating margin is projected between 9% and 10%, translating to non-GAAP operating income of approximately $67.5 million at the midpoint of our full-year revenue and operating margin guidance. As I noted earlier, even with a year-over-year step down in operating margin, we expect our non-GAAP net income to remain relatively stable with fiscal 2025, given the expected reduction in interest expense. We expect fully diluted non-GAAP earnings per share to be in the range of $0.34 to $0.37 for the year, assuming approximately 144 million average diluted shares outstanding. And we anticipate cash flow from operations to be between $40 million and $50 million for the full year. To close, I want to thank our employees for their ongoing dedication and execution. Fiscal 2025 was a year of meaningful progress, tightening our operating model, delivering consistent profitability, and strengthening our foundation for growth. As we enter fiscal 2026, our priorities remain clear: focused execution, invest in scalable innovation, and continue delivering value for our customers and shareholders. With that, I'll turn it over for Q&A.
Operator: [Operator Instructions] Our first question comes from the line of Peter Levine of Evercore. Please go ahead, Peter.
Peter Levine: Great. Thank you for taking my question. Maybe can you share with us what you're hearing from your field reps, from your partners in terms of the macro impact? Is it sales cycles? Is it just a delay in spending? Maybe just give us a little bit more color in what you're seeing and hearing from the macro side?
Samuel Wilson: Sure, Peter. It’s Sam, and thanks for the question. Look, I'll give you a little bit of a play by play, right? So in March, as the tariff stuff in April was really taking off, we noticed in the US, for lack of a better word, a bit of chaos. Some was elongated deal cycles, some was shrinking of deal size depending on the urgency around the need to switch. So if you were at end of contract with an on-prem provider and those kinds of things, you did a deal, but you might have done smaller than you originally wanted or you broke it up into more phases and those kinds of things. As this quarter is been rolling out. So April was a little bit of all over the place and May has been a little calmer. I don't know how you guys feel on the equity market side of the house, but it's just been a little calmer in the old US technology side of the house. In terms of the rest of the world, I don't know, they just ignore us. I mean, it seems like internal to us it felt like at least to me two different markets. There was the US and the rest of the world and the rest of the world was chugging along.
Peter Levine: Perfect. And then maybe can you clarify, I know there's a lot of things going on with the changes that go to market. You said there's still some that needs to be addressed or you're still working through a few other changes. Maybe just walk us through what remains in terms of your go to market? And then maybe just Kevin, real quick, can you give us like an adjusted service revenue growth for fiscal 2026 excluding the Fuze? Thank you.
Samuel Wilson: Okay. So Peter, it's a work in progress. So we took a company that focused basically 100% of its business four years ago in the notion of buy what you're buying today in the cloud to buy a solution and an outcome around customer engagement from us. And so, that's required a complete rebuild of the sales and marketing engine. You'll notice it in our rebrand, you'll notice it in how we structure our sales organization, all those kinds of things. A lot of the heavy reorganization work's been done with the work at SKO this year, we've launched our new sales processes and things around more solution selling and outcome based selling. And now it's just a matter of fine tuning the engine. I would say we're 60%, 70% of the way through that. But it takes a while, because you know the deal cycles, right? They're nine months. So as we launch these things, we get to sort of see – seven, eight, nine months later to see how well they've taken and how it's working. And so I think that's a lot of fine tuning that I would expect over the next year.
Kevin Kraus: And Peter, in terms of the revenue growth excluding Fuze, so Sam mentioned in the script also, it was 4.6% year-over-year and it's an increase from the growth from Q3. So we're a positive grower excluding the Fuze business.
Kate Patterson: He also wanted fiscal year. Which is what I gave you.
Kevin Kraus: 3% -ish.
Kate Patterson: It’s 2.9%.
Kevin Kraus: 2.9%
Samuel Wilson: I think he's asking for next year though. He's asking actually. That's all nice. He could have gotten that out of the script. He really wants to know what you're forecasting for next year.
Kevin Kraus: Got it, got it. My mistake Peter. Yes, I don't have it -- the number handy, but it'd be a positive growth rate. The headwinds go away next year, so we should have a positive number again.
Peter Levine: Great. Thank you guys for taking my question.
Operator: Thank you. Our next question comes from the line of Siti Panigrahi of Mizuho. Please go ahead, Siti.
Siti Panigrahi: Hi. Can you hear me?
Samuel Wilson: Yes, we can.
Siti Panigrahi: All right, great. So just wanted to follow-up on your growth for next year and year after. You talked about even driving to high single digit growth. How much of that is mostly driven by the go-to market changes that you are planning to do versus customer like demand environment, like customer started spending? Because the reason I am asking is, we are hearing from some of your peers about growth deceleration mostly in the CCaaS and UCaaS space. So I would love to hear your assumption on that growth re-acceleration.
Samuel Wilson: So I don't think it has anything to do with the market. We never really forecast the market is going to substantially change its growth rate. We generally forecast whatever the most recent third-party analyst estimates are for the growth rate for the market. We really base it on the fact that we've got, as we said in the script, significant increase in the number of multi-product customers. So over half of our subscription revenue is now with customers with two plus products, and we see a better retention rate with those. So that'll flow through the model. We're continuing to sell our new products, that flows through the model. We've continued to expand our distribution, that flows through the model. And we're restructuring and improving our performance of our GTM spending, so that'll flow through the model. So really, our growth rate, I would say, I use the term loosely inside the company, is inside our four walls, not outside our four walls.
Siti Panigrahi: Okay. And then Kevin, I look at your guidance for cash flow, and I understand some of the investments you are doing, but if I see the margin contraction versus cash, operating cash flow contraction seems to be bit more. Could you walk us through like what's your assumption and how should we think about the cash flow part of the business for fiscal 2026?
Kevin Kraus: Yes. So look, I gave a $10 million range on that guide. We are making the investments that we've been talking about here on the call. These are good investments in growth and so forth. And our focus also is on the ability to keep our net income flat and stable with previous periods. So I think it's just a function of the investment, maybe a touch of -- I'm not going out on a limb on the forecast for the cash flow guide, but we're comfortably generating a good amount of cash flow for next year. So it's kind of a measured approach to the guide on that.
Siti Panigrahi: Okay, great. Thank you.
Operator: Thank you. Our next question comes from the line of Catharine Trebnick of Rosenblatt Securities. Please go ahead, Catharine.
Catharine Trebnick: Yes, thanks for taking my question. Two questions, Sam. You've really been focused on the product, so on the CCaaS piece of the business. Now, why are you winning, and that what specific piece of your product is driving those wins? Thanks. And then the follow on is, looks like from the deck you did a really good job in the UK landing a lot of customers. You also have a lot of VARs and resellers in the APAC region. And what's the status of how CPaaS is doing in that region? Thank you.
Samuel Wilson: All right. Multi-headed beast there, Catharine. So let me just -- why are we winning contact centers? I would say first and fourth, we have a complete solution. And if I summarize it in one sentence, it's you can get best-in-breed technology from a single vendor. So with a combination of our contact center plus our technology partner ecosystem, we're bringing out a Gartner Magic Quadrant player in contact center and workflow. We've got add-ons from companies like Cognigy, Verint, and Calabrio, and PCI Pal, et cetera. And we wrap it all in bundles to achieve customer outcomes. And for our core market of mid-market enterprise and above kind of, that is a really powerful message. They don't have a lot of developers, they don't want to spend a fortune on a systems integration contract. They just want to go to a single vendor and buy it, one throat to choke. But they're not willing to give up the fact they want great performance from their products. And we give them the best of both worlds, one throat to choke, one integrated platform, native feeling integrations. And a compelling commercial offer to put it all together and have us deliver it in beautiful professional services on top of it. Okay, yes, the UK did great last quarter. We've got some new sales leadership there that's doing fantastic. We've improved our execution there. And as always, I'm really proud of our UK operations. We've been in the market since 2013 and continue to do exceptionally well in that market. It carries a higher retention rate and kind of higher conversion rates than we get in the US. And I just -- huge shout out and credit to the UK team. All right, I saved the best for last. The CPaaS team killed it again last quarter. They continue to do fantastic. Communications APIs or platform APIs continue to be a high growth business for us relative to everything else. And we continue to invest in there and expand it. Big believer in CPaaS, we continue to see it as a core part of our business. And as we like to say, we're not a UC company, we're not a CC company, we're not a CPaaS company. We're a business communications company, because one of our strongest advantages overall in the marketplace is that, we offer all those technologies under one roof fully integrated.
Catharine Trebnick: All right, thanks.
Samuel Wilson: Catharine, can I do a cheat on you here? Can I expand the question slightly?
Catharine Trebnick: Yes, you can.
Samuel Wilson: We were the first contact center company to announce RCS, integrated with the contact center. So we have two way RCS traffic currently being carried right now in real time. And I'm super proud of that, because I think it shows when someone invests in buying our products, they're investing in that journey and that vision of where we're going. And that's just a prime example. So thanks for giving me the freebie to call that out.
Catharine Trebnick: Thanks.
Operator: Thank you. Our next question comes from the line of Michael Funk of Bank of America. Please go ahead, Michael.
Michael Funk: Great. Thank you for the question. And Kevin, great to talk to you guys again. I want to go back to the comment about high single-digit revenue growth by fiscal year 2028. I'm trying to tie that back to this year, right? The Fuze is less than 5% of revenue that's baked into the full revenue guide for the year and the sun setting by year end. But then, off of that, what takes you to the highest more digit revenue growth? Is it just, I mean, is it increase in seat count in customers? Is it larger wallet share? Are you assuming stable increasing pricing. Just trying to figure out what takes that customer spend or the revenue growth to the high single digit even once SKUs rolled off by year end. [Multiple Speakers]
Samuel Wilson: All right, I'm going to give you the strategic overview and I will let Kevin give you any follow on details that he sees fit. All right, so as we roll this year, so fiscal 2025 that we just finished and fiscal 2026, we'll have the headwinds of Fuze. So -- and that actually rolls into fiscal 2027. So it's less of a headwind, but as we roll off the last customers, etc, right? So core business we're growing 4.6%, is that what -- 4.8%. I forget.
Kate Patterson: 4.6%.
Samuel Wilson: 4.6%, right, I forgot the number. 4.6% core business, that starts to shine through and that's been accelerating as new products and those things take hold and lift that business up. So once we get Fuze out of the way, that'll add, and the new product continues to mature, that continues to grow. You were asking a question about wallet share, et cetera. As we roll out more and more new products, and I think we're going to reach a crossover point here shortly. Well, we've already reached a crossover point where 2 plus product customers are over half our subscription revenue. We're going to reach a crossover point probably sometime in the next three or four quarters, where 3 plus product customers surpass one product customers. And we do see a substantially higher renewal rate and retention rate when we do that. And so those things start to lift. And as you know in these SaaS business models, Michael, it takes a little while to get that to shine all the way through. So we get fused out of the way, we get the core business continuing to show a higher sustained retention rate, we continue to land new business and grow our new business is greater than our churn, and so that'll continue to make the pool grow bigger, and eventually the math sort of works out to high single digits.
Kevin Kraus: And one thing I would add on top of what Sam said is, we also have this rapidly growing usage-based business on top of all that recurring revenue. So it can inflect very quickly than it has, and so that contributes to the growth rates we expect in the future.
Michael Funk: Thank you both. one more quickly if I could. So Sam, you made a lot of progress on the balance sheet, on the expense structure, including stock-based comp. I know you mentioned go-to-market among other things, but where has your focus shifted now that you've made it through those first priorities on your list. What's top of your list week to week?
Samuel Wilson: Get back to growth, right? So we're aggressive -- we've accelerated, I talked about this two quarters ago, we accelerated the shutdown of Fuze, we're on track to do that by the end of the year. That helps those numbers shine through, right? Because there's this prevailing belief that somehow we're going out of business or something, I don't know, that the long-term discounted cash flow value of the company is zero or however you want to think about it. And so, I think I need to get that to shine through. So I've been accelerating that, been investing for growth, we're investing in CPaaS and those kinds of things. And then eventually as we get into fiscal 2027 and 2028, we'll start to invest a little bit more around distribution and improving those things.
Michael Funk: Great. Thank you, Sam. Thank you, Kevin.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Meta Marshall of Morgan Stanley. Please go ahead, Meta.
Unidentified Analyst: Hey, everyone. This is Jamie on from Meta. I appreciate you taking the question. Maybe just firstly, it looks like you guys are still seeing some pretty strong growth in the new product side, but that that maybe slowed a little bit from like the 60% or so clip that you'd seen in Q3. So just any specific call-outs there?
Samuel Wilson: Yeah, we did see a little bit of a slowdown in the new product growth. It didn't accelerate. I think that was a function of the macro-economic environment that compares the numbers getting bigger. All those sort of things coupled together.
Unidentified Analyst: Got it. And then just similarly as a follow-up, maybe just unpacking the sequential step down in RPO. Is that more macro-related or something that would be attributable to the acceleration in the Fuze transition.
Samuel Wilson: Yeah, it's just Fuze transition mainly. As we accelerate that, we're rolling off some of those things.
Unidentified Analyst: Great. Thanks so much. I'll jump back in queue.
Samuel Wilson: Thank you.
Operator: Thank you. I would now like to turn the conference back over to Sam Wilson for closing remarks. Sorry?
Samuel Wilson: [indiscernible] Okay. All right. Thank you so much, everyone. We'll follow up with anybody. Kate Patterson and [indiscernible] are available from Investor Relations to follow up in any form or fashion. Thank you so much to our customers, our partners, our employees and everyone for joining us on this call today and have a great day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.